Operator: Good day, and welcome to the Escalade First Quarter 2025 Results Conference Call. All participants will be in the listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Vice President of Business Development and Investor Relations, Patrick Griffin. Please go ahead.
Patrick Griffin: Thank you, operator. On behalf of the entire team at Escalade, I'd like to welcome you to our first quarter 2025 results conference call. Leading the call with me today are our Board Chairman, Walt Glazer; President and CEO, Armin Boehm; and Stephen Wawrin, our Chief Financial Officer. Today's discussion contains forward-looking statements about future business and financial expectations. Actual results may differ significantly from those projected in today's forward-looking statements due to various risks and uncertainties, including the risks described in our periodic reports filed with the SEC. Except as required by law, we undertake no obligation to update our forward-looking statements. At the conclusion of our prepared remarks, we will open the line for questions. With that, I would like to turn the call over to Walt.
Walter Glazer: Thank you, Patrick, and welcome to everyone joining us on today's call. I'll begin with an overview of our first quarter results before turning the call over to Armin for a strategic update. As many of you know, Armin joined Escalade as our President and CEO at the beginning of April and has been actively engaged with the team as we continue to navigate a dynamic operating environment. I am very pleased we were able to recruit Armin, have enjoyed working with him to plan a smooth transition and look forward to his leadership and contributions to Escalade's success in the years ahead. Our strong first quarter results reflect the continued benefits of our operational discipline and strategic focus. Over the past few years, we've implemented a series of initiatives designed to streamline our cost structure, improve operating efficiency, and position the business for sustainable, profitable growth across the economic cycle. These efforts drove a meaningful improvement in our gross margins during the quarter, despite ongoing softness in discretionary spending and declining consumer sentiment. Net sales declined approximately 3% year-over-year as anticipated, but we expanded gross margins by more than 160 basis points, driven primarily by lower manufacturing and logistics costs resulting from facility consolidations and our cost rationalization program. Importantly, we view this margin improvement as durable and reflective of the leaner, more agile operating model we built. While overall consumer demand for discretionary goods remained soft, we saw encouraging growth in several key categories: archery, safety, darting and outdoor games, all of which outperformed the prior year period. These results highlight the advantage of our diversified portfolio and the resonance of our market leading brands with consumers. We maintained a sharp focus on working capital efficiency. Inventory levels rose modestly during the quarter as we selectively built ahead of the spring selling season for our archery, basketball and playground categories. Despite this, we generated nearly $4 million in operating cash flow, driven by our enhanced profitability and disciplined working capital management. Consistent with our capital allocation strategy, we deployed this cash to reduce debt and return capital to shareholders. In the quarter, we reduced our bank debt by $1.8 million, paid a quarterly dividend of $2.1 million and repurchased $1.4 million of Escalade shares. Over the past 12 months, we reduced our debt by nearly $30 million, driving our net leverage ratio down to 0.8 times trailing 12 months EBITDA. With cost of debt of just 2.97%, we continue to have opportunities to benefit from positive cash arbitrage. We believe low leverage with low cost debt is a good place to be in today's environment. To summarize, our first quarter results reflect strong execution and reinforce the progress we've made toward building a leaner, more resilient organization. On behalf of the Escalade Board of Directors and the entire Escalade team, I want to reaffirm our long standing commitment to delivering innovation, operational excellence and long term value creation for our shareholders and customers alike. With that, I'll turn the call over to Armin for a strategic update and a look at the road ahead.
Armin Boehm: Thank you, Walt, and good morning, everyone. It is a privilege to join Escalade and build upon the strong foundation that the team has put in place. Over the past month, I've had the opportunity to immerse myself in the business and meet many of the talented individuals driving our success. Their focus, passion and resilience have reaffirmed my excitement about what we can achieve together. Escalade has a clear and compelling strategy rooted in operational discipline, innovation and customer centricity. That strategy has served us well, particularly while facing the heightened complexity of today's macroeconomic and geopolitical landscape. While consumer sentiment remains soft and the trade environment continues to evolve, our team is focused on controlling the variables within our control, leveraging our U.S. based manufacturing footprint, optimizing our supply chain and aligning inventory to demand. Escalade has balanced domestic manufacturing and global sourcing for decades, which has enabled the company to remain competitive in the marketplace and responsive to customer demand. Our domestic manufacturing footprint gives us flexibility and speed. Regarding our global sourcing, we source a meaningful portion of our products in Asia through trusted partners. While we have taken important steps in the last years to diversify our global sourcing footprint, the current trade uncertainty, especially around China has prompted us to further analyze and plan for a range of expanded sourcing scenarios. We began to see the early effects of new tariffs on shipments of imported goods late in the first quarter and are continuing to take mitigation actions to reduce the impact going forward. These actions include designing and engineering new solutions to reduce our tariff exposure, rationalizing product assortments, collaborating with our retail and supply partners to enhance our supply chain resilience and expanding domestic manufacturing capacity. We are also reviewing additional levers, including targeted pricing where appropriate as we expand and refine our playbook. We will remain agile and operate with a sense of urgency as the global trade situation evolves. We currently have reasonable levels of inventory across our categories to meet near-term customer requirements as we further assess the longer-term outlook. From a demand perspective, we have seen changing consumer behavior patterns. Some consumers are accelerating purchases ahead of potential price increases, while others are holding back due to broader economic uncertainty. Our diverse product portfolio helps us navigate this cross currents, and our balance sheet gives us flexibility to respond to these changing conditions in real time. Looking forward, we are focused on strengthening our direct-to-consumer and e-commerce presence while connecting with consumers in new and meaningful ways. To that end, we have launched several initiatives aimed at deepening consumer engagement, building loyalty and accelerating share gains in both domestic and international markets. We are also investing in innovation, expanding our consumer-led brand development efforts, particularly with our STIGA table tennis and Onix pickleball assortments with more exciting products in the pipeline that align with emerging consumer trends and healthy active lifestyle preferences. Additionally, this year marks the 180th anniversary of Brunswick Billiards. John Brunswick founded his namesake company in Cincinnati, Ohio in 1845, resilient and adaptable, Brunswick Billiards has navigated through wars, pandemics, prohibition, that depression and thrived over decades to become an American institution and a cultural and lifestyle icon. To commemorate this significant anniversary, we are releasing limited edition Brunswick Billiards cues and Centennial boards (ph) as well as launching the GOLD CROWN VII, which continues the legacy that began in 1961 when the legendary Gold Crown I was released. This reimagined classic blends the familiar elegance of historic Gold Crown designs with today's cutting-edge technology. This is an exciting anniversary year for Brunswick Billiards. In parallel, we remain open to strategic acquisitions that enhance our brand portfolio and expand our addressable markets. We'll approach M&A with the same financial discipline that defines our broader strategy, focused on attractive risk-adjusted returns, category and cultural alignment and shareholder value creation. In closing, I'm confident in our team, our strategy and our ability to drive long term profitable growth. I look forward to working closely with our partners, customers and shareholders as we enter this next exciting chapter in Escalade's journey. With that, I'll turn the call over to Stephen for a review of our first quarter financial performance.
Stephen Wawrin: Thank you, Armin. For the three months ended March 31, 2025, Escalade reported net income of $2.6 million or $0.19 per diluted share on net sales of $55.5 million. For the first quarter, the company reported gross margins of 26.7% compared to 25% in the prior year period. The 161 basis point increase was primarily the result of lower operational costs driven by our facility consolidation and cost rationalization program. Selling, general and administrative expenses during the first quarter decreased by 1.2% or $0.1 million compared to the prior year period to $10.6 million. Earnings before interest, taxes, depreciation and amortization increased by $0.5 million to $4.9 million in the first quarter of 2025 versus $4.4 million in the prior year period. Total cash provided by operations for the first quarter of 2025 was $3.8 million compared to $7,000 in the prior year period. Cash used for working capital purposes was lower in the first quarter of 2025 compared to the prior year due to lower anticipated sales. As of March 31, 2025, the company had total cash and equivalents of $2.2 million. At the end of the first quarter of 2025, net debt outstanding or total debt less cash was 0.8 times trailing 12 month EBITDA. As of March 31, 2025, we had $23.8 million of total debt outstanding. During the first quarter of 2025, we completed remediation of the remaining material weaknesses in our internal financial reporting controls. The material weaknesses were initially disclosed in March of 2024, and management worked diligently to resolve these identified issues as quickly as possible. As a reminder, these material weaknesses did not impact the accuracy of our historical financial statements. We will remain focused on maintaining strong internal controls across the organization. With that, operator, we will open the call for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Rommel Dionisio with Aegis Capital. Please go ahead.
Rommel Dionisio: Yeah. Good morning. Thanks for taking my question. Just maybe a couple of follow-up questions on the -- on your proactive steps to address the tariff situation. I think you mentioned that, obviously, you highlighted a great point, Armin, about the global sourcing platform that Escalade had in place for many years. Could you just maybe talk about how quickly are you able to react and shift over production from hypothetically China to Vietnam or whatever the case is, especially, given the seasonality of your businesses. Can you maybe talk about that? Thank you.
Armin Boehm: Hi. All right. Rommel, very nice to meet you. Very good question about tariffs, of course. So let me set the plate here as well a little bit, okay? So first of all, of course, we recognize that at the moment, they are operating -- there's a very high uncertainty in the marketplace. However, we believe that our diversified category portfolio, our strengthened margin structure that we currently have, our agile supply position that we are in sets us really well up to navigate this year and actually what comes beyond. We at Escalade, we were confronted with challenges already in the past. And we quickly reacted to current challenges by taking actions to manage those elements that are within our control. So let me give you a couple of examples there of what we're going to do. So on one side, we are in process to optimize our supply chain. Number two, we need to look into pricing actions as well. Number three, we are working on reducing our cost structure. And number four, we have to manage our inventory level diligently. Over the last year, we have been continuously optimizing and diversifying our manufacturing footprint already. Today, we source products from several Asian countries and manufacture domestically in our owned and operated facilities in Florida and Illinois. However, as you know, China is still representing a significant share of our sourcing volume and it's also the number one supplying country for our industry segment. We also recognize our tariff exposure related to China production and are currently working very close on our -- with our value chain partners and are evaluating all options on hand. Our teams have been fully engaged in analyzing and planning for a range of scenarios ahead. We are finding savings and reducing costs in our supply chain. This includes negotiating with our contract manufacturers and identifying cost opportunities and efficiencies across the supply chain. While our Chinese suppliers already signaled cost concessions, other scenarios include evaluating pivots to switch supply lines and import products from other parts in Asia. Next to include evaluating pivots to switch supply lanes, we are also looking and we look into other mitigating actions such as price adjustments. Pricing is a potential lever and any adjustments will be very surgical. We are working closely with our retail partners to achieve the right balance and always keep consumers in mind when we consider pricing actions. While we can also not predict the future, we are considering all options and variables that we have in our own control and evaluate different scenarios to master current uncertainties and to explore opportunities ahead. We will remain agile and operate with a high sense of urgency.
Rommel Dionisio: Okay. Maybe just a couple of quick follow-ups on the financials, perhaps for Stephen or anyone else. The two things I noticed, you mentioned there was a hit to the cost structure late in the quarter from tariffs, but you did post -- I think, 160 basis point improvement in gross margins. I guess you never know it, but obviously, strong performance from you guys given the macro headwinds. Could you quantify what the tariff impact may have been in the first quarter? And the second question was on inventories. I think you mentioned -- maybe, Walt, you mentioned you were proactively taking on some inventory in anticipation of the tariffs. But inventories, I just noticed were $77 million, way down from last year, granted, there were corporate restructuring actions. But was that just a function of what happened to be on March 31 or did inventories kind of rise into second quarter? How should we kind of think about that number? Thanks.
Walter Glazer: Sure. Thanks, Rommel. This is Walt and Stephen can join me if he likes. But yeah, the first question around the tariff cost, it was a little bit over 100 basis points negative impact in Q1. But as you point out, we still, despite that, reported 161 basis point improvement. So that gives you some sense of the scale of the improvements that we've made. And then secondly, on the inventory levels, we've been -- despite our current -- the current environment where our old inventory, our existing inventory is valuable today because it doesn't have the tariffs, we had too much inventory a few years ago. So we've been focused diligently on decreasing inventory over the last few years, and that process has just continued. And part of the cost savings revolves around storage, handling, managing all that inventory. So the fact that we have more rightsized inventory is part of the story of why our costs were lower. Great. That’s very helpful. Thank you both very much.
Operator: Thank you. [Operator Instructions] We have no further questions, ladies and gentlemen. I would like to turn the conference back over to Patrick Griffin for any closing remarks.
Patrick Griffin: Thank you, operator. Once again, thank you for your interest in Escalade and joining our call. Should you have any questions, please feel free to contact us at ir@escaladeinc.com, and a member of our team will follow up with you. This concludes our call today. You may now disconnect.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.